Operator: Good afternoon and welcome to the MGM Resorts International Fourth Quarter and Full Year 2020 Earnings Conference Call. Joining the call from the company today are Bill Hornbuckle, Chief Executive Officer and President; Corey Sanders, Chief Operating Officer; Jonathan Halkyard, Chief Financial Officer; Adam Greenblatt, Chief Executive Officer, BetMGM; Hubert Wang, President and COO of MGM China; and Jim Freeman, SVP of Capital Markets & Strategy.
James Freeman: This call is being broadcast live on the Internet at investors.mgmresorts.com, and we have furnished our press release on Form 8-K to the SEC. On this call, we will make forward-looking statements under the Safe Harbor provisions of the federal securities laws. Actual results may differ materially from those contemplated in these statements. Additional information concerning factors that could cause actual results to differ from these forward-looking statements is contained in today’s press release in our periodic filings with the SEC. Except as required by law, we undertake no obligation to update these statements as a result of new information or otherwise. During the call, we will also discuss non-GAAP financial measures in talking about our performance. You can find the reconciliation to GAAP financial statements in our press release and our investor presentation, which are available on our website. Finally, this presentation is being recorded. And I’ll now turn it over to Bill Hornbuckle.
William Hornbuckle: Thank you, Jim, and thank you all for joining us today. I hope you and your families continue to be safe and well. Before we get to the details of our performance in the fourth quarter, I want to take a moment and thank the thousands of MGM Resorts colleagues around the world, who have helped worked so hard over the past several months. I, along with the other members of the senior management team, am eternally grateful for the resilience and commitment that our employees have shown throughout this crisis. I continue to be amazed by what we have accomplished together. We have adopted seamlessly to a rapidly changing environment always putting the safety and enjoyment of our guests and our employees first and foremost. More than anything else, that gives me confidence in our company’s future success. I’d also like to welcome the newest member of our executive team, our CFO, Jonathan Halkyard. Many of you know Jonathan from his tenure as CFO of Caesars, and most recently as Chief Executive Officer of Extended Stay America. Over the past 20 years, Jonathan has built a well-earned reputation for integrity, developing people, driving strategy, and delivering results for shareholders. I’m excited to have him here at MGM and even though it’s only been a short time, I can assure you he’s already having an impact. Welcome Jonathan.
Operator: Thank you. We will now begin the question-and-answer session.  And our first question will be from Joe Greff with J.P. Morgan. Please go ahead.
Joseph Greff: Good afternoon, everybody.
William Hornbuckle: Hi, Joe.
Joseph Greff: Thank you for taking my question. Bill, either based on conversations with Nevada health officials or Governor Sisolak’s office, when would you anticipate a rollback in the more recent capacity restrictions in Nevada? And does March seem likely seasonality, ideally would it make sense? And how do you then think about some of the midweek room closures and reopening some of that hotel capacity?
William Hornbuckle: Look, obviously, we’re in constant dialog with the Governor’s Office and the health officials. We are hopeful that there’ll be a March rollback, probably till October levels would be ideal. There are no promises that the governor has slated a call for later this week. I would suspect we’ll see something targeted towards March, so I think March may hopefully begin to feel like October, if we’re lucky. And by the way, this is my presumption, not my knowledge. And then, I’m hoping by end of spring as we go into June, we’ll see yet another significant rollback as we get ready for events. There are several large conference conventions that want to come both City Wide and here at the property. And then, as you know, March Madness and followed by really spring break, pool season around here is substantive and meaningful. And so, I think we’ll see occupancies hopefully go back to October and then beyond. I know Corey is planning on – maybe to speak to Corey quickly, some openings here and sometime in March.
Corey Sanders: Yeah, Joe, our focus on openings will be if we could burn less cash being opened, and what we’re seeing on our booking pace is that that will definitely occur at the beginning of March. So, we would expect to open those 3 properties 7 days a week, beginning in March.
Joseph Greff: Got it. And when you look at sort of the net group convention booking activity, what’s sort of the period or month where you see, call it a slippage from the canceling and rebooking at a future date fees , is that September or is that October? And then, when you look at 2022 bookings, I know you were generally pretty positive on that. If you look at the number of conventions versus the number of anticipated attendees associated with the convention, is there much of a difference there? So at some point, we have to be concerned with attendees, not just sort of whether or not the event will take place when we think about next year?
Corey Sanders: Yeah, Joe, this is Corey. I do think especially the ones that we will attend this year, and we have some association groups, some pretty big sized ones scheduled even beginning in June. We do expect the attendees to be a little bit less initially, but I think as vaccines roll out and as people feel more comfortable traveling, the amount of people coming may not approach what it was at peak, but we hope to see that return in the beginning of 2022. The first big City Wide event has actually been scheduled and has been talked about. That’s the World of Concrete at the new convention center edition, which I walked yesterday, and it’s quite spectacular. It will be really great for the city. I think it will give the city a competitive advantage. And then literally 2 weeks later, they have Barrett-Jackson. So, we are optimistic what we see on our books in the third and fourth quarter. We still have quite an amount of rooms on there. And we’re – fourth quarter, we actually have more rooms on the books than we did the same time last year as we look at year out. And so, we’re pretty optimistic on what we see in the future. The other data point that we’re starting to see is people are starting to look to book, and we have over 120,000 rooms under contract for 2021 out there right now, that I think people are just looking for one more sign to say things are going to be on the clearer side.
William Hornbuckle: And then, Joe, maybe a little color to put things in perspective, I always found this number interesting. We collect a lot of advance deposits for entertainment. I remind you, we haven’t had entertainment now for better part of the year. We’re still holding 82% of those advance deposits for things like Lady Gaga and other shows that some of them aren’t even rebooked yet. And I think what It simply says is that, when available, people want to come back. And the idea of there being, yes, some of the groups may be light in participation, but I think the overall leisure travel and the notion of us with this massive amount of pent-up demand for people to get out, I think will offset in occupancy. For us, some of it’s going to be about RevPOR over the short term, not the long term, but I’m pretty excited by the trends and the way people have reacted today. We just had a great Super Bowl weekend in terms of participation. So I think people will respond as we come out of this.
Joseph Greff: Great. Thanks so much for the thoughts, guys.
Operator: The next question will be from Chad Beynon with Macquarie. Please go ahead.
Chad Beynon: Hi, good afternoon. Thanks for taking my question. I wanted to touch on the press releases that were out during the quarter, just on the Entain situation. You were very clear in terms of everything you’ve been able to accomplish recently with BetMGM. But just wondering if you could elaborate a little bit more in terms of what was announced, the process, and then if you would expand beyond the United States, given your success here if that was part of the thinking with your original proposal. Thanks.
William Hornbuckle: Chad, look, I mean, the thinking is we see a great deal of opportunity in digital gaming, sports or iGaming and other potential channels, actually where entertainment and gaming could converge. That being said, it’s a big world. Obviously, we have a very good partner in Entain. We have our JV with BetMGM, that I’ve just articulated how well we think it’s doing. There’s a lot I can’t say, the UK takeover rules. So, there’s a whole lot I can’t say about our thoughts around that. Obviously, we had an interest. We’re now in a quiet period. We’ll have to see what happens. But I will say this, it is MGM’s intent to play in this space on a substantive and significant level on a global basis. And so, whether this is the avenue of the route to do it or not, I think time will tell. But we do want to diversify our revenues. We think this is where the industry is. It’s already started to prove itself. This is where the industry is going. And we want to be a larger part of it.
Chad Beynon: Thanks, Bill, I appreciate it. And then, one thing you hadn’t touched on yet is Japan. There were some announcements out there on another market, not the market that you’re focusing on. Could you just give us an update in terms of what’s the latest in terms of timing provincially, and then with the federal government over there? Thanks.
William Hornbuckle: Sure. The federal government announced the 9-month delay. Osaka has not given us the requirements of what that will mean to them and our submissions. I think that’ll be coming out within the next several weeks, I think you’ll see a requirement of us to submit an RFP with our partner Orix sometime this summer. It’s yet to be ultimately determined. And we’re ready to go. I mean, we’ve been in that marketplace a long time. We’re a believer in Asia. We’re a believer in Japan. We’ve spent a lot of time and energy, becoming the soul of – one standing at the gate, if you will, on Osaka. And so, how long this all takes? Obviously, COVID has hit there as equally as hard, and there’s a great deal of sensitivities around it, in that market. We haven’t had our people on the ground there for better part of 9 months. So it’s going to take some time to rebound. But we have the intent. And as well, I believe that the government still has the same intent of moving forward.
Chad Beynon: Thank you very much.
Operator: The next question will be from Shaun Kelley with Bank of America. Please go ahead.
Shaun Kelley: Hi, good afternoon. Thank you for taking my question and, Jonathan, welcome. I just wanted to start, Bill, you gave some really interesting disclosures on what you’re up to in the sports betting and iGaming front, and specifically, some great data around Michigan. And I just wanted to get maybe a sense, in particular, the iGaming numbers look really stellar to launch off. I mean, already being at a pace that’s ahead of New Jersey, it is pretty significant given I think the population is about the same size. So could you maybe unpack that for us a little bit? What do you think is driving the depths of that market? What do you think is driving MGM’s success there as it relates to maybe some of your cross-sell opportunities and customer acquisition?
William Hornbuckle: I’ll kick it off. I’d love you to hear from Adam here, because he’s obviously doing this every day up there. But we got going early, we were ready for it. We pre-registered folks. We had a campaign. Obviously, we’ve got huge brand presence there. We have a deep and rich database there. And ultimately, I think with our product, it resonated. But, Adam, why don’t you provide some color?
Adam Greenblatt: Yeah, absolutely, Bill. Thanks, Shaun, for the question. Well, firstly, I’m delighted to be here. And it’s a testament to the work of the BetMGM team, the success we’re seeing. And Michigan is a great example of our strategy, BetMGM strategy coming to life. Bill’s already touched on the power of the brand. We’ve got BetMGM Detroit, branded BetMGM – sorry – MGM branded Detroit branded, such the power of omnichannel, we’ve got both sports and gaming. And that really plays into our hand. The technology that we use from Entain was built in a way that gives us tremendous amount of flexibility in driving cross-product play. And we’re really seeing this come to life in Michigan. And I think the key step that perhaps when you’re looking for is multiproduct play. Recognizing that we’re in the early days of the market, we are seeing well over 30% of our customers playing both casino and sports. And so, we’re really excited about it. There is so much potential. iGaming has started more strongly than our sports business. The Super Bowl was very good for our sports business. So, yeah, we look to the future of that state, very, very encouraging.
Shaun Kelley: Thank you, Adam. And then, maybe as my follow-up, you guys did allude to your customer acquisition cost being, I think, lower than some of the market standards that we’ve seen in other markets. I’m kind of curious on your thought of – is that type of rate sustainable when you have this type of presence in kind of first day at launch? Or do you expect to begin to reinvest some of that lower customer acquisition cost, both as the market matures, and also maybe to possibly further boost your market share presence?
William Hornbuckle: Adam, again, why don’t you…?
Adam Greenblatt: Yeah, for sure. Bill already touched on our ability to get live on day one of the market and your question is relevant to that. What we are seeing, having launched 5 states in 87 days, a very, very busy first quarter and beginning of 2021. What we’ve seen is that in the first few days, the early weeks of a market CPAs are very low. Then we see as competition, other operators join us in those markets. We see CPA rates rise. We expect then the guidance that you’ve had from us and others to sustain for a period. What we do expect though is that, as the market rationalizes, as the market matures, the leaders cement their position in those leadership positions, that we will see those CPAs come down in due course, that’s kind of the profile.
Shaun Kelley: Great, thank you very much.
Operator: The next question will be from Thomas Allen with Morgan Stanley. Please go ahead.
Thomas Allen: Thanks. Just some more BetMGM questions. I think the key message is that you’ve gotten really strong share in date and you see room to continue to ramp. And looking at your disclosures quarter over quarter, it seemed like you ramped New Jersey iGaming share from 20% to 25%, in Colorado online sports betting share from 12% to 31%, despite I believe you launched on May 1 in Colorado along with the rest of the market. So what’s driving this really strong ramp? And what gives you confidence to continue to go? Thank you.
William Hornbuckle: Go ahead, Adam. And you can’t say brilliant management, but go ahead.
Adam Greenblatt: Well, obviously, that’s where I was going to go. Our business is a detailed business. Our business that is the orchestration of all of the tools, from the top of the acquisition funnel to how we look after players, to how they experience our product to our real-time CRM tools, to their brand to the work that we’re doing with MGM Resorts to really bring to life that M life database, to the fact that our players, that BetMGM players earn loyalty points that are redeemable for real life experiences within properties. All of these factors play a part into differentiating what BetMGM represents to our customers. And so, to pull out one or other elements of that, I think it doesn’t really reflect how important it is to line up all of those factors in order for the whole thing to come together. And that I believe is what is driving the momentum that we’re seeing in our business. And it is sustainable, because of it is difficult to do. And the business is – our BetMGM business is now really hitting stride. We’ve got the right team. The tools are working. And we’re seeing the fruits of that in the numbers.
Thomas Allen: Adam, I guess, as a follow up, you hit number one share in Tennessee. There are fewer competitors in that market, but you still have the main competitors in that market. What do you think is driving your leading position there? And then, you also highlight in the slide deck $13 million of deposits in January. Can you just talk a little bit about why that’s relevant? Thank you.
Adam Greenblatt: Yeah. I’m personally delighted about Tennessee, because some have suggested that we would excel at iGaming, but perhaps not be as strong in sports. And for me, Tennessee is the poster child of our ability to compete against the early leaders in a sports market only. Now, why are we seeing such success? We were there on day one. All of the components of our operating model were in place right from the start. We have the right partners, and we are partners with the Titans. So put all those things together, obviously, combined with product, CRM, all of the acquisition machine working. And we’re demonstrating that that we can fight and win toe-to-toe with the best. In relation to your second question which is around deposits, that’s important, because that’s the fuel. No deposits, no ability to wager, no ability to play. And the other point is – let me rephrase. The moment of truth is our players actually putting hard earned money into an account to play with us, rather than it being purely bonus money, incentive money. And so, the importance of that $13 million is it demonstrates the scale of fuel to drive  . I hope that’s helpful.
Thomas Allen: No, it’s very helpful. Thank you.
Operator: And the next question will be from Carlo Santarelli with Deutsche Bank. Please go ahead.
Carlo Santarelli: Hey, guys, good afternoon. Bill, if you could just – as you guys think about the book of business on the group side for 2022 and 2023, and you kind of look at where occupancy levels were and where rates were in 2019, obviously, the group side is pretty encouraging. So when you think about the ability to backfill and drive pricing and stuff, assuming the base case scenario, vaccinations, everything plays out, we flip the calendar next year, and all of this is behind us. How do you guys kind of think about a return from a hotel revenue, REVPAR, profitability perspective over the 2022-2023 period for the strip?
William Hornbuckle: Yeah, I would hope by the fourth quarter of 2022. We’re at about a 90% pace of where we were in 2019. I think the question really becomes what are the first and second quarters look like, and that’s obviously dependent on the balance of this year, and how quickly that ramps. But I hope to be every bit of the way there and maybe even the third quarter. It just again depends how quickly it comes back. It depends on how much rebound, enthusiasm we have from customers just wanting down the house. So – well, I think, again, the group business may be slower. We certainly have the business on the books. I think there’s going to be massive pent-up demand in terms of leisure business wanting to come. And then, we really haven’t thought about or talked about the funnel for international. I mean, I think you all know this historically that Bellagio summer. So we get into summer of next year with a clean slate internationally, 40% of our guests are truly, not only gaming, I mean, our guests are international. And so we have a large segment of that business, I think that will play into this, if it’s allowed to come back the way we hope and believe it will. And so that’s my thinking or sentiment. Corey, I don’t know if you want to agree.
Corey Sanders: I completely agree, Bill. The only other dependent is really air traffic, and how much – how fast they can build their capacity back, because I think the demand for our business will be there.
Jonathan Halkyard: Hey, Carlo. It’s…
Carlo Santarelli: Yeah, go ahead.
Jonathan Halkyard: Yes, Carlo. It’s Jonathan. And I – the only thing I would add is that I think this could be particularly interesting with these revenue gains against a cost structure that’s been resized as a result of a number of the initiatives this company has taken on over the past 18 months, and is now being tested in certain pockets of growth that we’ve seen, whether it be weekends or on the regions and has really resulted in margin expansion in those periods. So I think that, the top-line certainly is an important part of the question. But the way in which we flow that through down to EBITDAR is going to be probably even more exciting.
William Hornbuckle: Yeah, we had in the fourth quarter, I think the point that – the occupancy in the fourth quarter at Bellagio, Corey, was 34%, something like that?
Corey Sanders: They were a little higher.
William Hornbuckle: A little higher.
Corey Sanders: Yeah. Yeah.
William Hornbuckle: But the margins were up into the 40s. So, I mean, we had – yeah, so it’s not even in that small amount of volume, we can see the margin, we can clearly see in the regional businesses. But as Las Vegas returns, we’ll see, I think here first and foremost in ARIA, hopefully, and then it will flow through the balance of the business.
Carlo Santarelli: And Bill, just to clarify, I think you said 4Q 2022. Did you mean 4Q 2021 with that 90% number?
William Hornbuckle: No, I meant – no, no, you asked the question on 2022. That’s what I said. I’m sticking…
Carlo Santarelli: Okay. Okay. I just wanted to make sure. Okay, thank you. And then, just 1 follow-up. As you guys – obviously, you guys talked a lot about the sports piece and off to the – it’s been off to the races and are really strong. So how should we think about, and I know this is going to be kind of a moving target, because, unfortunately, as new states come online, clearly, you’re going to be spending and investing in those states. And that’s going to take kind of the profitability window longer, which is ultimately obviously a good thing. But if you think about the states, where you’re live now with what you were saying, the volumes you’re achieving and think you will be able to subsequently achieve. When would you say kind of breakeven from an EBITDA perspective on the sports side could comment, if we were to just assume status quo and no new state launches?
William Hornbuckle: Look, Adam, I don’t know if we broken out exactly that way. I think we’re in the second half of 2023 and beyond before we start to come down, if you will, off of peak investments. And obviously, it depends on how states roll out in when, obviously, by 2024 and 2025, we have models that are throwing off substantive EBITDA. Adam, I don’t know if you want to add to that.
Adam Greenblatt: Yeah, that’s absolutely, right, Bill. It’s – on a state basis, we’ve indicated that our expectation is, it takes about 3 years to get to breakeven. So the critical piece here is the timing of state rollout, particularly the big states.
Carlo Santarelli: Great. Okay. Thank you guys very much.
William Hornbuckle: Thanks, Carlo.
Operator: And the next question will come from John DeCree with Union Gaming. Please go ahead.
John DeCree: Good afternoon, everyone. Thanks for taking my question. Just one for me to continue the discussion on BetMGM. One of the statistics you’ve provided was about 17% of BetMGM signups have come from Mlife, and I’m not sure if you have any real data. But I’m curious if you could talk about where the other customers are coming from. You’ve got a number of partnerships that you put together Yahoo! Sports teams and such. And I’m curious if you have a sense of where the other 80% or so of customers are coming from and if that’s not really available kind of where are you spending your efforts in customer acquisition away from Mlife in direct marketing, anything like that, that you could kind of give us a little bit of color on how you’re acquiring those other customers right now?
William Hornbuckle: Adam, are you?
Adam Greenblatt: Yeah, absolutely. By far, MGM is number one through Mlife and omni, MGM is number one. We’ve said that, and that remains the case. And frankly, I think that’s only going to get bigger. Clearly, we’re at limited not reduced occupancy in the properties. And we’re seeing great conversion rates in the properties, both conversion rates and also CPA, so very excited about a post-COVID world. After that you correctly referenced Yahoo. Yahoo is our next largest partner source of traffic. They just actually been licensed in Michigan, and we’ve already seen the positive impact on player recruitment from that. Behind that, there is a range of sources. We’re investing in brands. We’re investing in outdoor, TV, digital. So the biggest single source rather than being attributed to one partner, our biggest source of traffic is organic. So it’s the combination of all the work we’re doing on brand and TV and outdoor. So people actually typing into their browser BetMGM. That’s the next biggest one. But otherwise, it’s a range of origins.
William Hornbuckle: And then, John, frankly for us in the brick and mortar side, it’s the inverse, because that number is almost double in terms of people that we’ve been able to reactivate to the brand bring in. I think, I mentioned in the last call some of success we had at Borgata bringing back 165,000 folks – reigniting 165,000 folks from Mlife, who hadn’t been in a while. And so, it’s a 2-way street. Obviously, for acquisition for Adam’s team, this is the cheapest. For us, it’s the opportunity to reactivate and reengage, in fact, we stay engaged 365. Vegas, they come 1.5 times a year if we’re lucky, regionals or more. But the idea that we could have connectivity for that extended period of time is pretty exciting.
John DeCree: Thanks, Bill. I agree. I’ll let you get a couple more quarters of casinos reopening. And then I’ll ask you for some stats on how those new BetMGM customers and the Mlife are doing at the casino looking forward to that. Thanks a lot, everyone, and congratulations on the solid results.
William Hornbuckle: Thanks.
Operator: Thank you. The next question will be from David Katz with Jefferies. Please go ahead.
David Katz: Good afternoon, everyone. 2 questions. And if we can – this may be a chance to get Jonathan in the game. As we look at the recovery, specifically in Vegas, we’ve all talked about how the regionals expect to retain a healthy amount of the margin increases. But I’m wondering how complex it is, opening large scale integrated resorts and the degree to which you can sort of hang on to margins. I’m wondering what comment you can make about profitability levels as we rollout to a more normalized level, and whatever that is 2022, 2023. And how that margin percentage compares to 2019?
Jonathan Halkyard: Yeah. Thanks for getting me in the game. I’ll offer a couple of thoughts. There is – as I’ve done some forensics on the performance of the business last year and in 2019, looked at the projects, which Corey has led through operations to really reconsider the operating model, and not just in the past 12 months, but even before the company entered 2020. I’m convinced that this business with the return of the volumes as complex as it is, as you noted, can secure the gains in the cost structure that they have seen so far. It was a long time ago – it feels like a long time ago. But it’s important to note that this time last year, in January and February of 2020, MGM’s property level margins had increased almost 500 basis points over the prior year. And that was a benefit of the cost moves, and some restructurings that occurred during 2019, and we were already seeing in the numbers a year ago. And that that program – those series of programs were augmented further, of course, during 2020. And beyond that, and this has been a bit of a surprise for me coming to MGM for sure. The company really has a very effective operating model with centers of excellence in the areas you would expect hospitality, gaming, finance, entertainment that cut across the entire enterprise, and are effective and efficient delivering, I think, a better outcome at lower cost. And that kind of organization is absolutely critical when we talk about things like the reopening of these properties. So I certainly anticipate EBITDAR margins solidly above 30% across the enterprise as we recover, we would have seen that in the regions in the fourth quarter of 2020 had we not had the closures. And I’m confident that we can get there in Las Vegas as well as we reopen.
William Hornbuckle: And David, I just might add a thought. Look, we are open. We open and close some of them every week and that’s a complex process. But – and so we’ve proven to ourselves that the restructure, our ability to spread management across multiple properties in terms of senior leadership, not only is going to work, has worked. And so it’s not overly complicated. I think the trick for us will be make sure that we’re tight and we’re disciplined on yielding volumes and making sure that we do labor, the way we forecasted it and the way we’ve presumed that we’ve done historically in the last couple of months, as Jonathan mentioned before the pandemic. That’ll be our test, if you will. It’s not overly complicated at this point, if kind of being here in the middle of the ship is probably the most complicated.
David Katz: Understood. And thank you for that. My follow-up is probably not for Jonathan. I wanted to ask about the digital gaming, and the degree to which and the importance of which, owning your own technologies and owning your own capabilities, becomes increasingly important as you scale. Candidly, it was one of the first thoughts I had around just before the Super Bowl, when they’re started to be some news about volumes becoming an issue. If you could just talk about that importance going forward, that would be helpful economically and strategically?
William Hornbuckle: Yeah. Look, I will kick it off. And then, I think, Adam can speak to the Super Bowl, be happy to handle that one. The good thing with our partnership is it’s that. We gave our retail business, they gave their technology. And so by not owning our technology in most circumstances, there’s a percentage that comes with that. We’re not burdened with that, if you will. We’re not paying a percentage of GGR or NGR – GGR on someone else’s technology. So that’s the first affirmative thing. When it comes to this initiative with Entain, obviously, America is the biggest thing in the world right now. And so we’re all highly focused on it. And so our ability – and as you know, it was rough out of the gate, but our ability over the last year, particularly led by Adam now to get the teams engaged, to get the technology, to get the development effort, to get the product that we need and want for America of note, because obviously, we’re desiring to speak to Premier League and other things has been meaningful. Sure, ultimately, at some point, it could come into play. But for today, we don’t pay the premium that others do. As it relates to Super Bowl, it wasn’t necessarily a volume thing. But Adam, why don’t you just comment on it for a moment?
Adam Greenblatt: Yeah, of course. But if you’ll indulge me just before I get onto that, just to – David, to build on what Bill has said. With the owning your own technology piece is important for – on 4 pillars. The first, obviously is cost. We’re not paying away to a third party, the cost of it. But importantly, by owning our product, we can get to market quickly, we can be there on day one, as we’ve demonstrated 5 times over in 87 days, I don’t think anybody else has done that. So speed to market, so that we can capitalize on that pent-up demand that low CPA period that is vital and valuable. We can also staying with product, we can also respond quickly. And I believe more quickly than anybody else to what customers are telling us, and we have a research group now and a research process so that the process of ongoing improvements to product can be translated into what customers experience as quickly as possible. So that’s a further benefit. Content is the other. We have in-house with – in our partnership within Entain. We have in-house studios, which allow us to bring unique content to market which is both cheaper than buying. Obviously, we’re not paying away a REV share. But it’s the only place in town that you can play certain games, our most popular iGaming product in New Jersey and now in Michigan is our in-house developed game. So and – playing that forward, why is that relevant? Because, we think that we can continue to develop, innovate and differentiate. And the last is the tools that are unique to our platform. The player management tools, the customer communication tools, all of those come together in a way that we think is strategically valuable. Now, getting onto – that’s all the good stuff. As regards the Super Bowl, Bill already mentioned, the Super Bowl was a record breaking day for BetMGM. Online bets 11 times last year, online handled 17 times last year. And our digital performance was robust throughout the U.S., which as you’ve probably read wasn’t the case for all operators, and actually enhanced our competitive position. But, Nevada was different. And in Nevada only, we did have an outage, which resulted in the system being down during the game. But the system was restored shortly after and has been working as normal ever since. Now, just in the important parts, the issue that caused the outage was specific and was the unfortunate result of a human error and has been addressed. We know that the software works, which makes the downtime on Sunday, all the more disappointing, particularly given all the tremendous work that was done by our MGM colleagues in preparation for the event, which was just enormous. And it goes without saying that we sincerely apologize for the inconvenience caused to our customers, who I hope are looking forward to March Madness as much as we are. And I’ll give it back to you, Bill.
David Katz: Thank you very much.
Operator: And our next question will come from Robin Farley with UBS. Please go ahead.
Robin Farley: Great. Thank you. All of my BetMGM questions have been answered already. Just one on Macau, obviously, your cash flow positive in the fourth quarter, but I know from your comments and comments that others have made, it sounds like a lot of that was really in the month of October. So just wondering with the sort of dampened levels that you’ve talked about, it has – is the property cash flow positive now here in Q1 so far?
William Hornbuckle: Hubert, you’ve stayed up all night for this. This is all yours.
Hubert Wang: Thank you, Robin, to make my early rise in Macau worthwhile. Actually, I think, I want to correct one thing you’ve stated. In Macau, actually, the cash flow has been – was positive each month in the fourth quarter, actually, December had the best financial results. And also in terms of business recovery, December was the strongest. And, of course, going to first quarter, we saw some of the momentum carried over in the first week of January. But after that, because of the COVID cases in China increased, so there was some travel advisory put in place by the Chinese authorities at all different levels. We do anticipate that hotel occupancy will reach a level similar to October Golden Week last year for Chinese New Year period. And this will be a period for us that to remain positive for quarter-to-date period. And visitation to Macau is a function of COVID cases in Macau, COVID cases in China, and also the availability of vaccination. I think that when you look at these variables, there’s no reason to believe that the travel advisory will stay in place for a long period of time, because I think Macau has been almost 250 days without any local cases. In China, the burst that we saw in December or early January has quickly diminished to about low-double-digits, in the teens. And vaccination in Macau and also in China has been pushed out to more and more people. So I do believe that we have reason to be optimistic in the first quarter. Back to you, Bill.
William Hornbuckle: That’s great, Hubert. Thank you.
Robin Farley: Great. Thanks very much.
Unidentified Company Representative: Can we get the last question, please, Chad.
Operator: The next question will come from Stephen Grambling with Goldman Sachs. Please go ahead.
Stephen Grambling: Thanks for sneaking me in. Changing gears a little bit, what are your latest thoughts and the different paths to think through MGP and potentially deconsolidating that asset?
William Hornbuckle: Look, I’ll kick it off. And we’ll let Jonathan in since I spoke way too much here. Obviously, we have an opportunity with some more high-basis units that we can go after. It’s still our long-term intent to potentially sell some of this down, if not, over time, all of it. So we’re an asset-light company. But there’s a lot involved between now and then. And so, Jonathan, why don’t you pick it up from there?
Jonathan Halkyard: I mean, I’d only offer a couple of thoughts, Stephen. As Bill said, it certainly is our goal over time to reduce our ownership stake in MGP. I think it would in some ways simplify our story and our corporate structure. We do have some opportunities to do tax-efficient sales of OP units. But it is also a – it’s a high yield on the investment that we have in MGP right now, so relatively high yield. So we certainly need to balance our moves with that, which is right now an appealing return on that investment. But the direction is certainly over time to reduce that.
Stephen Grambling: Makes sense. And then, if I can sneak a follow-up in on BetMGM and iGaming, are the customer acquisition costs for all iGaming and sports betting players including the M life customers? And if it is, what do you think the customer acquisition costs are for non M life customers? And perhaps another way of coming at it, can you identify how many of the M life signups of that 39% that were attributed to BetMGM? What does that equate to in terms of just number of people?
William Hornbuckle: Stephen, can we hook you and connect you with Adam for some of that offline?
Stephen Grambling: Yeah, that sounds good.
William Hornbuckle: That we could go on for a while on that one. We’ve obviously suggested that M life customers are a whole lot less expensive to get. There’s obviously more expense tied to brand new customers that, over time, we think will become profitable for all of us. iGaming actually costs a little bit more, but they’re much bigger wallet. And they last a lot longer, which is the value set there really. And sports betting is so new, we don’t know what 3 years into sports betting looks like, because no one’s ever done it before. And so – but I’d love you to spend some time with Adam. And if I could offer you up, Adam, that’d be great.
Adam Greenblatt: Cool, cool, delighted. I like talking about our business.
Stephen Grambling: That’s great. Well, that’s helpful color there to start it off. And I look forward to following up. Thank you.
William Hornbuckle: Thank you, Stephen.
Operator: Ladies and gentlemen, this concludes our question-and-answer session. I would like to turn the conference back over to Bill Hornbuckle for any closing remarks.
William Hornbuckle: Thank you, operator. And thank you all for joining us today. Obviously, we’re excited about our sports betting business. You can tell and I could sense everyone’s excitement. It’s obviously the conversation and the value driver of present. And we think ultimately, in the long term, for long-term for the company. You’ve heard us talk about diversification. We are hell bent on that. Whether it’s into this space or other areas, brick and mortar and otherwise, in Asia, that’s something we’re going to continue to be keenly focused on. We’re going to have a very disciplined approach coming out of this emergence, if you will, to make sure that the expenses that we’ve put in play and we’ve all worked so hard for over the last 18 months, and frankly, 2 years, it started a long time ago. And then, we doubled down during COVID, when we restructured once again at the parent company level. You’ve heard from Jonathan, his view on the outside, our COE and our environment and our operating model is working. So not only is it cost effective, but we think it’s effective in general, and it works. And ultimately, we’re going to become extremely customer-centric. We want to value up our customers. We want to push them up our chain, our food chain, if you will. We think there’s a lot of retail money still to be had at ARIA and at Bellagio. And we’re excited to get going with platforms here around digital marketing. And some of the things we’ve just put in play with the digital check-in, that gives us access to customers like we’ve never had before, that we’re excited ultimately to deploy, so a lot more to come. Obviously, we’ve got probably 3 or 4 months of angst. And we’ll see as these states continue to roll out, and most notably here in Southern Nevada what happens. I think starting this week, we’ll hear from the Governor. And then over the next couple of weeks and months it’ll be important to stay in touch. And obviously, any or all of us are available right after the call or until tomorrow morning. So I thank you all.
Operator: And thank you, sir. The conference has now concluded.
William Hornbuckle: Thanks. Bye-bye.
Operator: Thank you for attending today’s presentation. You may now disconnect.